Operator: Good morning. My name is Tim and I will be your conference operator today. At this time, I would like to welcome everyone to the Vistra Energy Second Quarter 2018 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Molly Sorg, you may begin your conference.
Molly Sorg: Thank you and good morning, everyone. Welcome to Vistra Energy’s investor webcast, discussing second quarter 2018 results, which is being broadcast live from the Investor Relations section of our website at www.vistraenergy.com. Also available on our website are a copy of today’s investor presentation, our 10-Q and the related earnings release. Joining me for today’s call are Curt Morgan, President and Chief Executive Officer; Bill Holden, Executive Vice President and Chief Financial Officer and Steve Muscato, Senior Vice President and Chief Commercial Officer. We also have additional senior executives in the room to address questions in the second part of today’s call, as necessary. Before we begin our presentation, I encourage all listeners to review the Safe Harbor Statements included on slides 2 and 3 in the investor presentation on our website, which explain the risks of forward-looking statements, the limitations of certain industry and market data, included in the presentation and the use of non-GAAP financial measures. Today’s discussion will contain forward-looking statements, which are based on assumptions we believe to be reasonable only as of today’s date. Such forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected or implied. Further, our earnings release, slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are in the earnings release and in the appendix to the investor presentation. I will now turn the call over to Curt Morgan to kick off our discussion.
Curt Morgan: Thank you, Molly and good morning to everyone on the call. As always, we appreciate your interest in Vistra Energy. I’m going to turn to slide 6. I’d like to cover our second quarter highlights, starting with our quarter and year to date 2018 financial results. We had another very good quarter. This is even after initiating our combined company guidance in May, which reflects higher forward curves and increased retail expectations particularly in ERCOT. We concluded the quarter delivering 653 million in adjusted EBITDA from our ongoing operations, results that exceeded our expectations for the quarter, primarily as a result of higher realized prices, lower than forecast operations and maintenance expenses and ERCOT retail favorability that was offset by higher power costs than planned for our Ohio retail portfolio. A meaningful, yet imperfect comparison we thought might be of interest is a comparison of second quarter 2017 versus second quarter 2018 results, using Dynegy’s and Vistra’s previously disclosed standalone quarterly results for 2017. This comparison indicates a more than 20% increase in 2018 over 2017, driven primarily by higher ERCOT retail and wholesale contribution margins and realized merger synergies. And similar to the first quarter of 2018, we once again executed a partial buyback of the Odessa power plant earn out in May, which reduced second quarter adjusted EBITDA by approximately $10 million. We expect the three year impact of the transaction, net of the premium paid, to be a positive $2 million. Excluding this second quarter negative impact, Vistra’s adjusted EBITDA from its ongoing operations would have been 663 million. I would also like to highlight that in the second quarter, our retail team grew residential customer counts in ERCOT by more than 1% year-over-year, ending the quarter with 1.493 million customers. This is the highest ERCOT residential customer count we've had since 2015 and it demonstrates how the strength of our retail brands and volatility in wholesale power prices can present an opportunity to acquire and retain new customers. Notably, during volatile wholesale price environments, our retail business has historically experienced growth, as customers switch providers due to higher bills. This is very important, not only in the short run, but we are generally able to retain the customer for the long run. Year to date, Vistra’s adjusted EBITDA from its ongoing operations is $916 million. Excluding the impact to adjusted EBITDA of negative 28 million resulting from the partial buyback of the Odessa power plant earnout in February and May, Vistra’s year-to-date adjusted EBITDA would have been $944 million. When we executed the Odessa earnout buybacks, the economic benefit, net of the premium paid, was approximately $25 million, which we largely locked in around the time of execution. In addition to Vistra’s results through June 30 tracking ahead of internal expectations, July is shaping up to be a strong month, as we saw high temperatures and strong demand in the second half of the month. ERCOT set multiple peak demand records in July with the highest peak demand being 73259 megawatts, meaningfully higher than ERCOT’s forecast summer peak of 72.8 gigawatts. Given these high temperatures, day ahead hourly prices were regularly higher than $1000 per megawatt hour. Vistra was able to capture some of this favorability in the day had hourly prices and our integrated operations performed well to meet retail customer demand. It is important to note that the July real time prices set largely consistent with our expectations when taking into account normal actual wind and strong ERCOT wide plant performance. It appears the hype was overdone coming into the summer, just like the response recently on August 2018 forwards and 2019 and 2020 forwards to the downside. As Steve Muscato will discuss in more detail later on the call, we continue to believe 2019 and 2020 will experience increasingly tight market conditions and forward curves will offer us multiple opportunities to hedge above our point of view, especially as retail players look to hedge those periods. Despite the recent softening in the ERCOT 2018 August and 2019 forwards we first provided combined company guidance in May, we are confident today reaffirming both our 2018 and our 2019 ongoing operations guidance ranges, which are set forth on slide 6. It is worth mentioning again that we increased our guidance for both companies in May, when we initiated guidance for the combined company. If we were comparing performance today to our original guidance issued in November of last year, the beat would be significantly greater. I also want to point out that even though current forwards are below their year-to-date highs, Vistra was able to hedge some of its August 2018 and summer 2019 link in the spring, when the forward curve ran up and was higher than our fundamental point of view. As you know, it is this volatility in the forward curve that allows Vistra to construct a realized price curve that has historically been meaningfully higher than settled prices and above our point of view. Now you might be wondering why we are not updating our 2018 ongoing operations guidance ranges, given the year-to-date performance that has exceeded expectations, embedded in the May guidance. Well, first of all, we already increased guidance in May to reflect higher curves in ERCOT, and better expected retail results. In addition, it would be atypical for us to update our guidance prior to closing out the summer, as Vistra would typically expect to generate around 40% or more of its adjusted EBITDA in the third quarter. August is a very important month for wholesale operations, especially in ERCOT and the first half of September is also important in ERCOT. As we have discussed on previous earnings calls, our ERCOT retail business performs well in the shoulder months, especially in October and December. We believe it is prudent at this point to reaffirm our guidance and wait until our third quarter call to consider an update to both the 2018 and 2019 guidance ranges. However, we feel very good about where we are at this point in time. Moving on to our merger value lever targets that are shown on slide 7, I am happy to report that we remain on track to deliver the $500 million of EBITDA value levers and the 260 million of additional after tax free cash flow benefits we previously announced to achieve by year end 2019. We also remain on track to capture the substantial tax and TRA savings and AMT credit refunds of approximately $1.7 billion. Specifically as we depict on slide 7, of the 275 million of traditional mergers synergies, we remain on track to realize 115 million in 2018 and 260 million in 2019. We expect to achieve the full run rate of 275 million by year end 2019, allowing us to realize the full amount in 2020. Similarly, of the 225 million of operations performance initiative EBITDA value lever targets, we remain on track to realize 50 million in 2018 and 160 million in 2019. We expect to achieve the full run rate of 225 million by year end 2019, resulting in realization of the full run rate amount in 2020. You may recall that we are already realizing 50 million on a run rate basis from previous OP work, completed on the Vistra ERCOT fossil fuel fleet. On the free cash flow side, of the 260 million of additional after tax free fish flow benefit, we expect to realize approximately 70 million of benefits in 2018 and 190 million of benefits in 2019. We expect to achieve the full run rate of 260 million by year end 2019, resulting in realization of the full run rate amount in 2020. As I have mentioned previously, we believe there could be more OP value to come, however, we take the balance of 2018 to prove this out, so please stay tuned for more updates on this topic. In addition, as our team continues to optimize the balance sheet to reduce Vistra’s overall cost of borrowing, we could continue to see improvements in our adjusted free cash flow forecast from further interest expense savings. We will keep you apprised of these potential future benefits as they are identified. Last, on taxes, Vistra is forecasting an approximately $25 million TRA payment in 2018 related to the 2017 tax year and is now forecasting it will pay just under $10 million in TRA payments from 2020 through 2022. Importantly, Vistra still expects to not be a federal cash tax payer from 2018 through 2022. We are also still forecasting to receive approximately 240 million an AMT credit refunds during the same period. Turning now to slide 8, we have a few updates as it relates to capital allocation. As you will likely recall from our June Analyst Day presentation, we are forecasting we will have approximately $1 billion of cash available for allocation through year end 2019. And this is after allocating approximately 3.6 billion of capital toward debt reduction over the same time period. Allocating cash for debt reduction is Vistra’s highest priority for capital allocation in the near term, as Vistra is focused first and foremost on achieving its long term leverage target of approximately 2.5 times net debt to EBITDA by year end 2019. As we announced at our Analyst Day in June, Vistra’s board approved the allocation of up to $500 million for opportunities share repurchases through year end 2019. We believe our stock is currently meaningful undervalued and as a result we have been executing on our share repurchase program since its launch on June 13. As of July 31, we have repurchased approximately 6.4 million shares at an average price of approximately $23.46 per share. As such, we have executed on approximately 30% of our current authorization, leaving approximately 350 million of capital remaining to be deployed under the program. We now expect to have approximately 550 million available for capital allocation through 2019 beyond the repurchase program. As we have discussed previously, we will be assessing a number of attractive opportunities to allocate this capital, including initiation of a dividend, investment to optimize the balance sheet and further incremental share repurchases. We will also allocate some of this capital to previously announced Moss landing battery storage projects. As you may recall, this project is still subject to the California Public Utility Commission approval and will have a twenty year resource -- adequacy contract with PG&E. Given the PG&E contract and the enormous need for flexible peaking assets in California due to substantial solar generation, we believe Moss landing will be a relatively low risk project and we forecast it will yield attractive returns, exceeding our 50 to 60 basis points above our cost of capital investment threshold. We have flexibility in how much we deploy to this project in 2019 and we are likely to fund it 100% on balance sheet, because we like the returns. The spreads are not that attractive and we want to keep our capital structure as straightforward and simple as possible. Of course, we always retain the flexibility to do a project financing. In the end, as we execute as expected in 2018 and 2019, we can move on a number of capital allocation fronts, including potentially initiating a dividend in 2019, which will likely be decided by year end 2018. I'm moving now to slide 9. As you can see, beginning in 2020, after we have paid off about $3.6 billion of debt and achieved our long term leverage target, Vistra is forecasting it will have more than $6 billion in capital available for allocation through year end 2022. As we expect, we will convert approximately 60% of our adjusted EBITDA to adjusted free cash flow. This meaningful free cash flow generation should enable Vistra to pursue a wide variety of capital allocation and alternatives, including supporting and growing a recurring dividend, opportunistically executing on incremental share repurchases and investing in additional strategic growth opportunities. As always, we will be disciplined in the pursuit of growth, taking opportunities that we project will satisfy our return threshold. As you’ve heard me say many times before, the 60% free cash flow conversion ratio is significantly higher than that of other commodity based capital intensive energy industries and as a result, we believe over time this unique financial characteristic will lead to a full valuation for Vistra. It takes very little maintenance capital to support the EBITDA of the company, given the combination of highly efficient, low cost, in the money fleet in our top tier retail business, in addition to low cost of debt from a very strong balance sheet. We also have the commercial prowess and market liquidity to capitalize on volatility and lock in value on a two to three year forward basis, contributing to certainty, stability and visibility of our EBITDA and free cash flow. However, we do not believe our stock price reflects the favorable attributes of our business. While we would like to see our stock reflect its full value, we are focused on what we control, which is executing our business plan and continuing to deliver on our commitment as we prove to the market that our new business model and commitment to it can create strong stable earnings and significant cash flow conversion, even in a challenging wholesale power price environment. In fact I believe the recent volatility in our stock price, which has been highly correlated to recent volatility in ERCOT North Hub August 2018 power is a bit puzzling. As you know, Vistra is largely hedged for 2018, we took advantage of the previous run up in 2019 to lock in value significantly above our point of view. As Steve Muscato will discuss momentarily, we are confident we will have ample opportunity to hedge 2019 and 2020 at attractive prices above our point of view. However, what is interesting is the volatility and recognition of tight market conditions seems to be contained to about a year forward, leaving a longer term forward steeply backwardated and unsupportive of newbuild, especially thermal. It is our view that any thermal new build with the current forward curves would have to be underwrote on the balance sheet via strategic, as it seems project financing would be very difficult and we require a substantial equity infusion. We do not see any more strategic lining up to place that. Investment in new thermal asset in ERCOT would be a very risky proposition, especially for one-off project. In the end, if the forwards remain backwardated, the ERCOT market should remain high and attractive. Before I leave the new build subject, I would like to comment on a recent Platts Megawatt daily article that suggested ERCOT has3550 megawatts under construction that will help relieve the tight supply/demand dynamics Amex in the market. In the article, Platts Megawatt daily indicated that 848 megawatts of new gas beakers are under construction. In fact, our research suggests that all of those assets are either in commercial operations already or they're in testing mode ready to be released, they are abandoned or behind the fence. In short, to the best of our knowledge, there are no new or material plants under construction in ERCOT between now and summer 2019. Most of the balance of new build cited in the article is wind capacity, but the article is reporting nameplate capacity, ignoring the fact that the peak contribution of wind is generally only around 20% of nameplate capacity, thus meaningfully overstating supply that will be available to market, not to mention congestion issues in the panhandle where wind is at its best. It is also important to note that peak ERCOT load is forecast to grow by approximately 2% each year, which is about 1400 megawatts and with no plants under construction, we believe reserve margins will remain well below ERCOT’s target reserve margin of 13.75% for the foreseeable future. We remain excited about the future of our company and the value proposition we bring to investors. We believe our business model centered on low leverage integrated and low cost operations, disciplined growth and a commitment to return substantial capital to shareholders is a winning formula and will lead to long term shareholder value. I would now like to turn the call over to Steve Muscato, our Chief Commercial Officer to give an update on the ERCOT wholesale power market. Steve?
Steve Muscato: Thanks, Curt. Turning now to slide 11, we wanted to spend a few minutes on the call today, discussing the state of the ERCOT market. As many of you know, Texas experienced extreme temperatures the last two weeks of July. During this period, ERCOT saw meaningful daily and intraday volatility, as it’s depicted on the two graph on the slide. During the two-week period, ERCOT North Hub on peak day ahead average prices were consistently above $100 per megawatt hour and even reached $401 per megawatt hour on July 23 with a single hour exceeding $2000 per megawatt hour. These high day ahead prices provided Vistra the opportunity to sell unhedged length at attractive prices during the month of July. However, while day ahead prices during the month of July were strong, real time prices came in meaningfully lower during the month. Real time prices settled below the day ahead market because ERCOT had sufficient supply to meet the demand, despite the above average temperatures. Specifically, July 2018 wind production at the peak hour was right around the average wind production at the peak hour over the last three years in July. Outages in July this year however were well below the July average over the last three years. As a result, generation supply in ERCOT was robust enough to meet the peak demand, as represented by real time prices. Importantly however, even though July prices did not reach the scarcity extremes that some might have expected during the July heat wave, average July on peak day ahead prices still averaged approximately $112 per megawatt hour. As a result, we are well positioned heading into August. Turning now to slide 12, you can see there has been meaningful volatility in the ERCOT 5x16 summer heat rates, particularly for 2018. It is this volatility that gives Vistra the chance to opportunistically hedge when forwards are fundamental point of view. In the spring of 2018, for example, ERCOT forwards traded above Vistra’s fundamental point of view and we took the opportunity to hedge some incremental open length in to this attractive forward pricing. Vistra’s hedging approach turns this price volatility into earnings stability. It is important to note that Vistra is net one generation, but when we talk about our hedging approach, it reflects locking in value against this net long position. Even though we have seen less volatility in the 2019 and 2020 forward curves, Vistra has still been able to hedge incrementally in those years, when volatility was present. In particular, as you will see in slide 26 in the appendix, Vistra is now approximately 91% hedged on a natural gas equivalent basis in 2019 and approximately 58% hedged on a heat rate basis in 2019. We continue to believe both the 2019 and 2020 forward curves will include from the current trading levels. Much like the 2018 forward curve did not move meaningfully higher until the early part of 2018, we believe 2019 and 2020 forward curves will continue to improve as we get closer to the prompt summer. Load in ERCOT is expected to grow at approximately 2% a year and ERCOT is not expected to see any meaningfully new thermal generation over the next two years. As a result, we believe the supply demand forecast will remain tight and forward hers will only improve in the months to come, as we depict on slide 13. In the chart on the left hand side of the slide, we have taken the ERCOT May CDR and backed out any new thermal generation, that is in the CDR forecast for 2019 and 2020. But that is not yet under construction on the premise that if you are not yet under construction today, you will not be on line by summer 2020. Making only this adjustment, ERCOT should see a declining reserve margin from 2018 through 2020, implying the tight supply and demand conditions are only going to persistent ERCOT in the coming years. Despite these declining reserve margins, however, the current 7x16 North Hub spark spreads are meaningfully backwardated, as we depict on the right hand side of the slide. Given the tight reserve margins, we expect through at least summer 2020, we believe this backwardation will reverse at some point in the future. Importantly and as Curt indicated earlier in the call, the backwardation in the curve makes the development and construction of the new CCGT and ERCOT uneconomic and highly unlikely, especially because ERCOT is energy only market, making it difficult to secure financing. As a result, financial players make rational decision, as it relates to new investment, it remains our view that the supply/demand dynamics in ERCOT will remain favorable, likely even beyond summer 2020. With that, I would like to turn the call over to Bill Holden to discuss second quarter financial highlights.
Bill Holden: Thank you, Steve. Turning now to slide 15, as Curt mentioned, Vistra concluded the second quarter of 2018, delivering $653 million in adjusted EBITDA from our ongoing operation, exceeding our expectations for the quarter that were embedded in our guidance. Excluding the negative $10 million impact of the partial buyback of the Odessa power plant earnout in May, Vistra’s adjusted EBITDA from its ongoing operations would have been $663 million. We expect this partial buyback to have a three year impact, net of the premium paid of positive $2 million. Vistra’s second quarter 2018 adjusted EBITDA from ongoing operations of $653 million compares favorably to our expectations for the quarter, because of higher realized prices and strong unit performance in our key generation segment, lower operating costs and favorable results in ERCOT retail that were offset by higher power costs and a even higher retail market. Segment results for the quarter can be found on slide 20 in the appendix, where you will see that following the merger with Dynegy, Vistra is now reporting six segments. Nationwide retail, ERCOT wholesale, PJM Wholesale, New York/New England wholesale, MISO Wholesale and the asset closure segment. The corporate and other non-segment consists primarily of corporate expenses, interest and taxes and CAISO operations. Year-to-date, Vistra’s adjusted EBITDA from its ongoing operations is $916 million, which reflects six months of results from the legacy Vistra operations and results from the legacy Dynegy operations for the period from April 9, 2018 through June 30, 2018. Excluding the negative $28 million impact of the partial buyback of the Odessa power plant earnout that we executed in February and May, Vistra’s adjusted EBITDA from ongoing operations would have been $944 million for the period. We expect these partial buybacks to have a positive impact, net of the premium paid over the period from 2018 through 2020. Turning now to slide 16, you will see that Vistra is reaffirming its 2018 and 2019 guidance for its ongoing operations. As a reminder, Vistra’s 2018 guidance reflects Vistra’s result on a standalone basis for the period prior to April 9, 2018 and anticipated results of the combined company for the period from April 9 through December 31, 2018. Vistra is reaffirming its 2018 guidance, forecasting adjusted EBITDA from ongoing operations of $2.7 billion to $2.9 billion and adjusted free cash flow from ongoing operations of $1.4 billion to $1.6 billion. Vistra is also reaffirming its 2019 guidance, forecasting adjusted EBITDA from ongoing operations of $3.2 billion to $3.5 billion and adjusted free cash flow from ongoing operations of $2.05 billion to $2.35 billion. You will see on slide 16 that we have updated our 2018 and 2019 forecast for the asset closure segment. As we continue to finalize purchase accounting and evaluate the asset closure obligations of the legacy Dynegy fleet, we expect to forecast for this segment could continue to shift in future quarters. I would note that we included our current 10-year forecast for the asset closure segment on slide 21 in the appendix to today’s investor presentation. Adjusted free cash flow for the asset closure segment is driven mostly by expenditures from mine reclamation work and planned retirement costs and also includes property taxes fees and allocated support costs. As you will see, we expect the cash spend for the asset closure segment to fall off significantly, beginning in year6. We expect the cash spend to decline even further beyond year 10. It is important to note that much of the spend in the next 10 years is included in the ARO reserve on our balance sheet. In addition, the current forecast does not reflect potential optimization opportunities, including potential sales of property. As always, Molly is available to answer any detailed questions you may have. Finally, turning to slide 17, as we discussed in our June Analyst Day, Vistra has already begun to reduce its leverage and optimize its capital structure. Most recently, repricing and refinancing approximately $5 billion of debt and consolidating the legacy Vistra and Dynegy and legacy Dynegy revolvers into a new $2.5 billion facility. As a result of the increase in revolver capacity from 2.3 billion to 2.5 billion, Vistra has reduced its minimum cash requirement from $500 million to $400 million dollars as is now reflected in the table on slide 17. Following the anticipated voluntary retirement of approximately $2.4 billion of senior notes through year end 2019, we expect to achieve our long term leverage target of 2.5 times net debt to EBITDA and have approximately $550 million of capital available for allocation. This 550 million is in addition to the $500 million of capital that has already been allocated to opportunistic share repurchases. As we continue to optimize our balance sheet and reduce our total debt, Vistra also will continue to focus on minimizing our total borrowing costs, which could provide incremental opportunities to improve our free cash flow savings from the merger. As Curt mentioned previously, assuming we achieve our long term leverage target at year end 2019, Vistra’s capital available for allocation is forecast to increase materially. Vistra is forecasting it will have more than $6 billion of capital to return to shareholders through share repurchases or dividends or to invest in strategic growth investments from 2020 through 2022. This healthy cash flow forecast is a direct result of our ability to convert approximately 60% of our adjusted EBITDA from ongoing operations to adjusted free cash flow, an operating characteristic that we believe sets us apart from other commodity expos, capital intensive industries and one that we expect will create meaningful shareholder value over the long term. With that, operator, we are now ready to open the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Shar Pourreza with Guggenheim Partners.
Shar Pourreza: So Curt, if you're correct around the curves and you layer on incremental hedges post summer peak, you could actually end up with somewhat higher available capital than you currently project, right? So, how are you sort of thinking about the size of buybacks, especially given the recent weakness in the shares, I mean, the stock is trading at somewhere in the mid double digit free cash flow yields here. So has the size of the buybacks -- has that thought process even evolved since the Analyst Day or could it evolve?
Curt Morgan: Yes, it could evolve. I think the way we have discussed this with the board is that depending on where our share price is, it could just continue to be the best investment that we can make and I think it's a tradeoff frankly in ’18, ’19 because this is not an issue once you pay down debt in ’19, because then our cash flow is strong, but it's a real question of whether you continue to do share buybacks or whether you institute a dividend. And we're very focused, as you know, because you've been with us around, talking to investors, we're trying to get feedback as to what we think the right use of that capital would be in ’19 because that's really where the choice has to be made, because we're so focused on paying down debt and we're going to have some excess cash. Now look, if we have better cash picture than what we're talking about right now, then you can do both. And so we're going to look at that obviously and try to manage that, but right now, given where our stock is, we think it is a very good investment for the company to buy back our shares. We still have a significant amount left to do and we're going to be focused on it. And I will add too that, I think when we instituted the buyback program, we were at around $24 and we would have gone, I'd say, meaningfully above that and continue to buyback because we feel our share price is well north of even that. So I think you'll see us execute this 500 million. I think, the board – we’ll talk to the board near the end of this year about what we want to do, this is what we also want to see how we come out of the summer and what our cash position looks like and then I think by the end of this year, we're going to be able to come back out to the market, probably around the Q3 call and we'll be able to talk about what capital allocation might look like in ’19 and that will definitely include both share buybacks as well as a recurring dividend.
Shar Pourreza: And then just remind us the recurring dividend, when you – assuming the board approves it obviously, assuming when you can pay out your first?
Curt Morgan: So the timing is what you're asking?
Shar Pourreza: That's correct.
Curt Morgan: Yeah. I think, this is a question that we need to talk to the board about, it has to do with what our cash picture looks like. So look, I don't want to get out in front of the board on this one, but it would be some time, if we did so, it would be some time in ’19 and I would guess it would probably be more in the first half, but we need talk to the board about this, but it is in that kind of timeframe.
Shar Pourreza: And then just on the leverage, since you mentioned it, is there – how are sort of conversations if any going with the rating agencies as far as thinking about maybe an investment grade rating?
Curt Morgan: We have not had a conversation with the agencies yet, because we’re still meaningfully above where we want to get to. I feel like that's a ’19 issue that maybe late ’18, ’19 when we’ll engage with them. I think we also – they’re like everybody else about this sector. They want to see it first. So I think we have to execute and demonstrate to them, so we have not yet engaged, we've had some cursory discussions with the agencies, but we have not had a detailed discussion. I think what we will end up doing is going into them -- to see them with a detailed presentation of what our financial plan looks like and have direct discussions, but that's probably later this year, early ’19 before we engage in that.
Shar Pourreza: And then just lastly, on the synergy stuff, it's good to see you guys are achieving ahead of schedule and like there's upside. Just on the timing of the upside, as far as the adjusted EBITDA, free cash levers, so how are we -- is this the 2019 story as well? Are we going into 2020 as you think about incremental opportunities? And then just in general, taking some of your prepared remarks, you gave some color there, but where the incremental levers sort of coming from, is it sort of around further optimization, additional maybe one or two cold retirements, refis, just a little bit of color on sort of where are you seeing any incremental levers post deal closing?
Curt Morgan: Yes. So just the operations performance initiative, the OP process, that's probably more a ’19, later ’19 and probably into ’20, because it takes time to get through each of these plants, it’s very detail and there's, each plants is probably 100 different ideas that end up getting implemented. So that's all about getting through our process and that I would guess that's what that looks like. In terms of incremental interest, expense savings through the optimization of the balance sheet, that could be later ’19 into ’19. So there are things that we're looking at right now that could reduce interest expense and optimize the balance sheet and there may be a little bit on the synergy side, but that -- we probably wouldn't talk about that till the Q3 call, it's not a material amount. But I think those are the things that we still have available to us and I think the nice thing is, I think Q3 call, we will have a little bit to talk about there and I think extending into ’19, we’ll have a lot to talk about. If you think about it, we're going to have, I think, a good year this year, relative to any expectation. And Shar, I don’t want to reemphasize the folks here that when we came out with guidance back in November, we used October curves. That's what everybody else was using. We then increased it to the, basically the end of March curves, which were substantially higher. So we already increased guidance already this year once and then we're beating relative to that, whereas the other guidance that you guys are hearing are probably back into the October of 2017 curves, which are meaningfully lower. So we’re continuing to produce strong earnings, strong cash, we have catalysts coming forward as well around the OP effort and other balance sheet improvements and then we're going to talk to the market about whether we want to continue to buy back shares and/or do a recurring dividend. So we feel good about the catalyst coming forward in the next six months and we’ll have a lot to talk about.
Operator: Your next question comes from the line of Praful Mehta with Citigroup.
Praful Mehta: So quickly on the EBITDA for this quarter, you mentioned that this was higher than what you had embedded in your guidance. Can you give us any sense for how much higher was the EBITDA and obviously you're going to look at full year guidance as well, but is there any color you can give us on where that is tracking broadly.
Bill Holden: So on the front ability, you want to -- I think, we can scale generally where -- how much ours was. I don’t know what, we can’t.
Curt Morgan: I mean basically, I would say, retail is roughly in line, the wholesale segment was higher and probably in the sort of $60 million to $70 million.
Bill Holden: Yeah. Right. And then on the full year basis, we're not ready to – remember, this is against the higher guidance that we gave in May. We're not ready to do anything with full year guidance and I think that’s because, August is playing out, weather has subsided a bit in early August, but you guys know this. I mean, in ERCOT, weather can change on a dime and so we want to, I think it's prudent for us not to do anything yet on full year guidance and we'll have a lot to talk at the Q3 call around that, and you will -- and so I think it's better for us to hold on at this point on full year guidance. But as I said in my prepared remarks, we feel pretty good about where we are for 2018, especially given the fact that we had increased guidance to much higher curves than the back in the October ’17 curves that others are using.
Praful Mehta: And then this asset closure segment, just so we understand the NPV of almost 500 million here negative. You said there are funds on the balance sheet to kind of support most of it, can you just give us a sense of how much cash is sitting to kind of support this asset closure kind of investment over time.
Bill Holden: Yeah. And Praful, I think what we’re referring to is that every time an obligation for which the liability has already been booked for those expenditures and then if you look at it, the total at the end of Q2 for mining and plant retirement, retirement obligations was about 1.068 billion in total and roughly half of that would be attributable to the asset closure segment.
Curt Morgan: So Praful, another way to say this is, if you were looking at the asset retirement obligation on the balance sheet of both Vistra and Dynegy all along, which I assume you guys look at, right, because that is the MTV of what the future expected retirement obligations are of the company, that number has not changed much. So that total has been and it continues to be about the same and about half of that relates to the asset closure segment. There's another rather large obligation related to the nuclear plant, Comanche Peak. You probably know this that we -- there's a surcharge in the encore rates that actually go against that. We do have a large reserve against that particular obligation that grows over time, as that surcharge is collected and the obviously we invest in conservative securities to earn a return on what we have in the reserve to go against that.
Praful Mehta: And then finally, just quickly on ERCOT, there's ongoing debates on what's actually better for IPPs, whether it's the volatility like this and no enough price movement to attract new build or do you prefer to have the spikes and see some new build come in overtime, just to keep some kind of stability on the ERCOT market. Curt, where do you see your preference, I guess, what would you rather see in ERCOT and how should it play out.
Curt Morgan: I think somebody called it, I can’t remember which one of you guys called it, the building locks, just right and what's just right, look, I think for us in particular, we like summers in the kind of the 105, 106 range. It's a good sweet spot for us in the way that we're set up. But we can't be too concerned about what the new build situation is going to be. I think, we would prefer, actually, I would prefer to see stronger forwards out two or three years out, because I think it would reflect reality and that there's not new development. Now would that bring on new development? I don't know. All I know is the previous time when this market came out and the forward curves did respond two to three years out, people built into it and they overbuilt the market and some people went -- there were bankruptcies. And so I would hope that investors would be mindful of that and because there's always that balance of wanting the forwards to reflect what reality is and that we can hedge into, but then the over exuberance of developers and to push projects and overbuild the market. It's really a delicate situation, it's hard for us because we don't control it. We have been very open about this. We run the economics on new build and we just don't see it on the thermal side in the forwards right now. And for us, the way that plays out is, as we roll into the prompt year, forwards keep popping up and then we hedge into that and we'll take advantage of it. What is I guess uncomfortable is that when investors look at it and you guys look at it, you don't see a higher forward curve and so it's hard for you to ascribe higher earnings power to the company because it's not reflected in the forward curve, but we do the fundamental analysis and when you do that, the supply/demand is not going to change, in fact, it gets more favorable for existing generation over the next couple of years. So a there is definitely a dilemma here when you look at the market and you say, okay, well the curves don't reflect it, yet, the fundamentals do. All of we can do is take advantage of the volatility and hedge into it when it's above our point of view and that's what we're doing. So again, if you ask me what I would like to see, I'd rather see the forward curves come up and reflect reality in ’19 and ’20 and take the risk on the development side, because I think that people, it's not that long ago where people were going bankrupt and I also think there's no strategics right now who are out there willing to just punt down a billion plus dollars in ERCOT again. So I think it's going to be developers and then it's very, very difficult. I know this when I was at ECP, it’s extremely difficult to get financing on ERCOT based asset, even existing ones that we acquired when I was at ECP. So I prefer to see the forwards reflect reality. I just don't think it's doing that right now. That's our own -- that's our own fundamental view and that's what we would prefer.
Operator: Your next question comes from the line of Steve Fleishman with Wolfe.
Steve Fleishman: Just on the asset closure segment. So the slide 21 reflects I think the costs per closure but could you just remind us of the EBITDA benefits, so we have kind of the full picture together.
Curt Morgan: And you’re talking about the benefit from shutting down, you're referring to the EBITDA benefit of shutting down the three ERCOT plants, Steve. Is that what you’re talking about?
Steve Fleishman: Yeah. My recollection is, you’ve already pulled out the -- part of your guidance is the savings from closure and then this is the cost, I just want to kind of have a full picture of both and maybe this is the net cost, including the EBITDA benefits.
Curt Morgan: So we don't have – I just want to make sure I understand the question. So, the EBITDA we are showing and the actual EBITDA effect and it’s on slide 16 from the asset closure segment and that's a drag as you can see on that -- if you see that Steve, that’s on 16. And then we have the actual cash expenditure, which is, just to be clear, in the first five years, it is largely the remediation of the mines. That's why you see that substantial decline and we expect it to further decline after the tenth year as well over time and frankly those have always been in our ARO. And it's just an acceleration of that because we decided to shut down plants, but I think Steve, if I get you right, you're asking, is there, I will tell you we have not pulled out the EBITDA, what you would recall, you could say that the drag is what the savings is, so we're not going to get the drag anymore, so that's, I think that's a way of thinking about, had we had those in there, that drag –
Steve Fleishman: And then just the 2019, the asset closure, if you go to slide 16, at EBITDA net free cash flow essentially getting rid of that drag, those would be roughly the ongoing impacts as well, so we’re trying to match the cost versus that benefit of avoiding this drag?
Curt Morgan: Yeah. And it actually declines a bit too over time. So we did not provide those, but that EBITDA declines as well, not on a proportional basis, but it does decline, I think into like the $40 million to $50 million range Steve over time. So you would see that also decline that benefit, if you will.
Steve Fleishman: Okay. And then just on the – any way to give a sense of the MOSS landing investment size.
Curt Morgan: Yeah. I think what we've done -- we have some confidentiality issues, which is what we've been dealing with. So we're trying to be as -- I don't want you guys think, we're being difficult here and I think we used, I think, it was $300 of KWH range, I think the math is, if you take that, what was it against 12 -- against 1200. So I want to be as clear as I want to get on that, but that, I hate to be that way, we get some issues around just what we can disclose directly.
Steve Fleishman: And are you -- is it like a 50-50 investment or you’re going to own the whole thing?
Curt Morgan: Well, we’re thinking about basically doing it on balance sheet, we like the returns and the spreads are just not compelling. So and a little bit about what's going on with PG&E, but they are still investment grade, but the spreads just aren't that compelling. So at this point in time, our view is, is that we would do this 100% on balance sheet.
Steve Fleishman: And you own the whole project?
Curt Morgan: Yeah. And the other thing is, Steve, you know that I’ve got enough battle scars on me, going back into the late-90s, early-2000s where everybody was project financing and trying to have mezzanine financing, all kinds of things, our view is that it's a lot better to simplify our capital structure and to the extent we like the returns and the spreads aren’t great, we’d prefer to keep our capital structure simple and so we are likely to do this 100%. Now look we could project finance it at any time, but we believe it's better to be on balance sheet.
Steve Fleishman: And then just one last quick one on the – just your quick take on the FERC order on subsidized generation and capacity and potential alternative FRR.
Curt Morgan: Yes. So at PJM?
Steve Fleishman: Yeah.
Curt Morgan: Yeah. Well, first of all, I think FERC and I’ve said this at the Analyst Day, I'll say it again. I think FERC has largely been constructive over the years. I mean I can remember LICAP and ICAP and PJM, but LICAP and ISO-New England, [indiscernible] zero. We've actually seen much higher capacity clears, but I also will say equally that states are getting more and more proactive in what they're doing and – but I believe that PJM and FERC are going to come up with a solution that will be either net neutral. I just can't imagine them agreeing to something that when you model it out would be negative to where we are today. I think it will be at least net neutral. I think FRR has the potential to -- and by the way the devil's in the details on what -- how FRR is implemented, because the details around that, how much load do you take out, how much do you credit against a single resource, which is a block resource against the shape, demand curve, how much do you actually cut out, I don't want to get too into the weeds here, but depending on how that plays out, FRR could actually be slightly positive to neutral. We actually have an idea, which I don't want to front run right now because we're trying to work this with a group of people that we think is – I won’t say it’s a better idea, I think it is, let’s put this way, with the way that FERC is constructed right now with Commissioner Paulsen leaving, you've got to cobble together three votes inside of FERC. We believe that there's a path where we believe there's three votes and I think that's important too, Steve, is to get those three votes and be able to actually put something in place because the status quo today is not good, where they're able to offer into the market, where there is no -- there's no -- there are no restrictions on renewables coming into the market. There's basically three exemptions right now in the market, but we do think there's a couple of ideas that we're going to go forward with, we're trying to work as I said with a number of different parties to try to get people signed off. I think it’s strength is in numbers when you go to FERC and we think we're trying to – or we think we may have a coalition, but I think it could be net neutral to positive. I think FRR is probably the weakest in our view for what it would be for us, but that -- the devil again is in the details on that. There are a couple of other structures that we like. I don't believe that you'll get through a straight move for X with complete exemptions that shuts out the states. I think if votes are holding out for that, I believe that has a extremely low chance of success, because I do believe FERC, I believe that part of their role is to try to work with states and some of the things that states are trying to accomplish. The good news is, there are probably some things in between that are good for the capacity market, not perfect, but good and would be good for our company and that's what we're trying to work on as a coalition to get something done that would be net-net positive, but that FERC could live with from a states' rights standpoint.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Bank of America Merrill Lynch.
Julien Dumoulin-Smith: So just wanted to follow-up, maybe to complete the last slide here on capital available. You talked about MOSS landing CapEx being in a zip code of say 400 million, my words, not yours, how do you think about the timing of that spread between ’19 and ’20, relative to the 550 of remaining available for allocation. Should we basically think about that as 200 and 200, so take 550 and take out the couple of hundred million for MOSS?
Bill Holden: It could be. The good news is, so there's a couple of things we could do. If we wanted to manage cash and for ’19, because it's really just a ’19 issue at the end of the day. We can do a construction financing and then – or we can work with our suppliers in terms of timing of payments. There is all kinds of things we can do around, how we end up paying the cash out the door for that project and so, I think, for modeling purposes, I think if you said 200 and 200, that’s probably a fair enough or you split half and half, but I think we can optimize around that and I think that will really depend on what the opportunities are from a capital allocation standpoint, whether that be additional share repurchases or whether that would be a recurring dividend and the timing of that recurring dividend, there could be other sources of cash that may come in as well that we may use against that as well. So I think we have -- the good news is, it's a ’19 issue. I think, it's a good issue to have, we can manage it and we could actually push more into 20 if we wanted to.
Julien Dumoulin-Smith: And then just turning to slide 25 real quickly in the commercial ops, maybe the Steve question, just can you elaborate a little bit versus 1Q, versus 2Q, you have had some changes in estimated generation, if you multiply, relative to the estimated ‘19 realized price, doesn't seem like too much of a change, but can you elaborate a little bit on some of the puts and takes going on there, might be slightly lower across all the regions.
Steve Muscato: I can start Steve with at least one thing. If you’re talking about ERCOT, which I think is probably where most of that shows up, as we've incorporated the Dynegy assets, we put their combined cycle plants on the our dispatched protocols and essentially we’re showing less generation during the lower cost shoulder hours that what would have been in the Dynegy forecast.
Bill Holden: Yeah. Basically, it’s cycling the combined cycles a little bit more in our model than it did in the Dynegy models previously.
Curt Morgan: Hey Julien, I’ll add something. We did a study before, I think this is helpful when you think about combined cycle plants and given their ability to cycle on and off, that movement about 80% of the run time for combined cycles is in the money. The other sort of 20% of that is generally at sort of a breakeven type pricing and so if volumes move within that band, it really doesn't move margin at all. And we’ve modeled that and not only modeled that, we then have back tested it with reality and so there's just not a lot of margin in those hours.
Julien Dumoulin-Smith: So hence, at the end of the day, ’19 expectations aren’t really moving around all that much, especially practically speaking, given this is always your expectation of combined cycle outlook on the margin.
Curt Morgan: Yeah.
Operator: Your next question comes from the line of Abe Azar with Deutsche Bank.
Abe Azar: Can you talk about the hedging strategy, why you hedge natural gas more aggressively than heat rate in the second quarter?
Steve Muscato: When we look at the production growth associated with -- associated gas coming out of places like the Permian, with strong oil prices, that continues to grow pretty rapidly. In addition, the Freeport LNG was delayed. So when we look at the combination of those two events, we just thought there was more probability of downside in gas than upside. So we wanted to kind of take that risk out, which is why we increased our hedge percentage pretty dramatically up to around 91% in the 2019 period.
Curt Morgan: And I’ll add -- we're pretty bearish at a point with gas in the next couple of years. I mean, there's just a ton of gas that keeps coming. And the one thing is I can't get into any of the details, but we have ways of doing this too where we basically stop out the down side and we do that on almost costless basis. And we give up some of the upside on gas and because our skew was more of the downside on gas, we're willing to give that upside away and we're able to hit our 3 billion plus EBITDA target. So while you're giving a little bit of upside away, you're preserving a band of upside in the way that we do this and -- but the key is, you're really protecting your downside, which is where we see the greater probability of occurrence.
Abe Azar: Follow-up is, what have you learned about supply and demand balance in Texas from the summer of future tightness. Is there anything in the way the supply stack performed that makes it kind of different than your assumptions going into the summer.
Curt Morgan: Well, I’ll add some and then Steve, if you want to add there, you can. The fleet, meaning the entire ERCOT fleet of assets has outperformed this summer, meaning in the last, relative to the last three years, outages have been I’d say materially below. And so you can argue, that's a good thing for keeping the lights on, right, but I think it has -- I think people got prepared, they saw it coming, they did, they did the investments they needed for the summer and so far they have performed. The real question is if you get another heat wave or two, what happens here is that you get the fatigue of some of the plants and we’ll see what happens. But so far, I think, that has outperformed in the market from what we've seen. I think it was largely within expectations. We did see a little bit of supply come in imported that we were not expecting to come in and I think you came in, Steve, you want to just mention that?
Steve Muscato: Sure. Up in the Panhandle, the only real issue I would say that there is -- units up in the Panhandle that are in SPP, that can switch back and forth. And so they switched into ERCOT and were able to flow over the Panhandle lines because the Panhandle, that's really the only I guess material issue that we have to watch.
Curt Morgan: And that's not that huge of a surprised although we haven't seen it recently, but that's because prices have been dipped. And so to have that swing in, I think it wasn't a huge surprise to us but it did happen and that because we had strong pricing. So I think, it largely has come in the way that we saw it come in and I think we were prepared for. The good news is to our integrated model worked. I mean, our generation generated value in our -- in some cases, our retail business had higher cost for the incremental volume, but those two -- the generation was more than offsetting. So at the end of the day, I think it worked out pretty darn well for us.
Abe Azar: And then shifting gears a bit, is there an opportunity to sell the assets from the asset closure segment such that you don't have an ongoing liability, similar to the way some companies have divested the nuclear plants recently?
Curt Morgan: Yes. The short answer to that is yes. We have not baked that in. That's an optimization opportunity. We're actually in the process of running an RFP for a number of these to scrap -- sort of scrap metal guys and others as appropriate and I would -- I expect us to manage that liability down, but we’re being conservative and we have not put that against it, but I think [indiscernible] you saw that and that was a significant reduction of what they would have had paying on that and you can expect that we will be looking to do the same. I think, one thing I do want to make a point about though is that on the remediation, as it relates to mines, we have to do that work. I think, we could offload it to somebody else if they wanted that land and there is interest in it, but we -- the point being is, with the dismantlement and recovery of a site with a power plant, you have some time to do that. There's nothing that’s compelling you that you have to do, so you can wait for scrap metal to be -- the market to be better. As it relates to the remediation of mines, you have to do that pretty much immediately after you shut those down. And then ash ponds, you have a timeframe, but it's relatively near term. We have a little bit of flexibility around it, but that's why we're out right now trying to run some of these RFPs because we want to get out in front of this, so we could see a meaningful change in this liability if we can do that, but we don't know that and so don’t want to bet on it.
Operator: Your next question comes from the line of Michael Weinstein with Credit Suisse.
Michael Weinstein: Steve, maybe you can talk a little bit about, you mentioned out puzzling tightness doesn’t extend beyond one year. In your conversations with other market participants in ERCOT, what's the driving factor that you see behind the reason why people aren’t willing to buy, I guess, beyond one year at this point?
Steve Muscato: I think it's driven by two things. One is the contract period for retailers, they don't typically buy three to five years, right. There's a lot of buying typically on the front, so that's just what we call it, supply demand dynamic. I think the other thing is just, this is kind of a show me market, we've historically seen either strategics like other companies come in like Exxon previously building combined cycles on balance sheet. And prior to that, we saw [indiscernible] come in and finance, I mean. So I think people are kind of waiting and seeing to see if there's any type of irrational build, but I think it’s a combination of those two factors.
Michael Weinstein: Also just generally speaking, the 60% cash flow conversion rate from EBITDA. Is that a kind of a – you look at that as a fixed number going forward or is that something that trends in an upward direction over time, just curious?
Steve Muscato: I’m sorry –
Michael Weinstein: Yeah. More for Bill. The 60% cash flow conversion rate. Just wondering if that's something that is sort of – you view that as a kind of a consistent constant over time or is that something that trends in one direction or another?
Bill Holden: Yeah. I think, in general, it’s on average 60% over time. Now, Curt did mention that we have the potential to do some things going forward, like additional transactions to reduce interest expense, those types of things to become a net pickup for the balance of the forecast in the free cash flow conversion ratio.
Michael Weinstein: And the extra 50 million that’s -- seems to be available for the second half, the capital allocation program, is that -- that's driven mostly by the results so far this year. Is that safe to say?
Bill Holden: Yeah. I mean I think the biggest changes, when we completed all the secured debt financing transactions that we closed in mid-June, we were able to get a revolving credit facility that was $2.5 billion. The combined company -- the sum of the new revolvers that we had before that were a little bit less than that. So we've got – essentially, we were able to reduce our minimum cash requirement by about $100 million and that’s fled through into the cash.
Michael Weinstein: And then one other thing, I think, Curt, you mentioned, you may have just misspoke or maybe this was just kind of an off the record comment, but I think you said you would definitely be including more buybacks in 2019. Obviously, that's going to be pending a board decision, but is that something that you see as at least part of the capital allocation, be part of it, would almost definitely certainly be additional buybacks, in addition to everything else?
Curt Morgan: No. I think it’s a function of where our stock trades relative to what see as the value. So, what I was driving to make a point is that I think we've got a couple of good allocation opportunities. One is our shares if they're attractive, but two is a recurring dividend and I think other than paying down debt, those would likely be the things that we would look at doing. Bill mentioned that we may do some things what I would refer to as an investment in our balance sheet that may use a little bit of cash, but overall, I think our focus is pretty clear. It’s pay down debt and then have some allocation opportunities that would return capital to shareholders and then there's of course other things that we may end up doing that might shore up the cash picture of the company, we might rationalize the portfolio a little bit, we may consider that. Clearly looking at the Illinois fleet and rationalizing that, if that's what the answer becomes, all can be helpful in the cash picture of the company. But I think those are real focus for us over the next six months.
Michael Weinstein: Just one last question on that same point, asset rationalization, in the past, you talked about California and, as you just mentioned, Illinois and possibly the one asset you have in New York. When do you think those decisions could be made? Is that more of a 2019 issue as well?
Curt Morgan: Well, I think the MISO strategy is going to play out over multiple periods. I’d say as early as maybe later this year and in to ’19, we have some decisions to make and I think the sooner the better on that, right. If we're losing money, we have to make some choices and you would expect us to do that. Independent’s plan is a very good plan. We're actually looking at how our Independents could play in terms of the other markets that are adjacent to New York and whether there's other opportunities. So we have made any decisions around independents and we don't feel compelled to do that. It would have to be a pretty strong value proposition and it would have to be accretive to us to do that transaction. In California, we're building a nice little business with 300 megawatt battery installation. We've got a good combined cycle plant that we think will be useful over the next several years. The site at Moss Landing has additional opportunity for batteries to be put in there and we know that California is going to continue to grow their RPS and so there's going to be a need for more batteries and we can work with PG&E around that and then Oakland even though it's a smaller site will have, we think is a perfect place to put a battery installation. They need to do something because they're going to shut the current, we're going to basically retire the current plant, because the RMR contract is going to go away and they need that site, it's a perfect site for battery installation. So I think we could develop a nice little business in California, so that's what we're thinking about now is in California, but I think MISO is where you would probably see more near term action, because we can't sit here and wait for legislators or FERC or others to save us. We got to save yourself.
Operator: Your next question comes from the line of Angie Storozynski with Macquarie.
Angie Storozynski: Most of my questions have been asked and answered, but you made a comment about growing your retail customer count. Given what has happened so far this summer in Texas and you’re past the missions to maybe grow the business through acquisitions, does it change your perspective, do you think that this summer is going to be make it more difficult to actually acquire large retail books in Texas and then in the absence of that, do you think that there is a way to grow this business organically?
Curt Morgan: So, a couple of things. One, I think, the volatility in higher prices actually make it more favorable to buy books in ERCOT and that increase in customer count that we've experienced, in fact, I’ll remind to everybody that we're now growing customers, our net attrition was down to 0.5%. We're growing customers this year. I think it’s a direct result of that phenomenon is that people -- whether people actively go because they want to be with somebody that's a stronger, bigger entity or whether that entity raises their prices in response to spikes in prices and then that activates them to come to somebody like us. We've seen it happen and we think we're going to continue to pick that up. And if we continue see tightness in this market, I think our ERCOT book is only going to benefit from that. I think what’s more important than anything, picking up the customer is one thing, but typically because of the way we work with customers, we can keep those customers for a number of years and that's really powerful for us to be able to get customer number one and then retain the customer and we've been able to do that. We saw this before in ERCOT where we were able to pick up customers and we retained them for a while. So this is really an advantage situation for us and this is purely organic really. With regard to growth, we’ve looked at a lot of books and we just have found something that we feel comfortable with and there's a number of reasons why, but whether it's value or whether it's a combination of that and we just -- we don't like the business model, whatever it might be, maybe you can call us picky, but that's precisely what we are when it comes to buying something in retail, because you've got to make sure it's real and we worry about that. So what we are doing because we've picked up a nice footprint out of Dynegy is that we are going to put an effort together and we are already embarking on it to grow our retail business organically outside of ERCOT. And we will do that prudent, we will do it methodically. We're not going to get out over our skis and put a ton of money into it, but we're going to basically have a prudent effort to grow our retail business on an organic basis. We've done the work and anybody who's grown this business on a organic basis, you shouldn’t expect it to be 200 million like NRG came out with, it's not going to be that. And NRG hasn't performed that kind of number. If you're going to grow at 200 million or something like that, we think you have to buy something. Could we find something at some point in time to acquire? Maybe. But I just -- I don't see it right now in the near term and we wouldn’t be interested, if there was a retailer that had an ERCOT position, because we can get larger ERCOT, we would be interested in buying selective books, if somebody was struggling and we saw a value proposition, we would do that, we would step in and do it. We have looked at one and maybe others. I don't know, but I do know that we would be open to that. We think this is a time of opportunity for us for retail in ERCOT in particular.
Operator: This concludes the question-and-answer portion of our call. I'd now like to turn the call over to Mr. Curt Morgan for closing remarks.
Curt Morgan: Well, thanks again for joining us on our Q2 2018 earnings call. And I’m sure we’ll be talking to you soon. Thank you very much for your interest in Vistra.
Operator: This concludes today's conference call. You may now disconnect.